Tetsuji Yamanishi: It's time to start TDK Corporation's Third Quarter Financial Results Briefing for Fiscal Year Ending in March 2025. Thank you very much for being here despite your busy schedules. Let us introduce the participants. Senior Executive Vice President and CFO, Tetsuji Yamanishi, Corporate officer, Fumio Sashida; Corporate Officer, Taro Ikushima. Corporate Officer, Takao Tsutsui. So that's all the participants from the TDK side. Today, we will go over financial results for Q3 or fiscal year ending March 2025 and the full year forecasts to be followed by Q&A. We are planning to have sixty minutes in total. The handout materials used during the briefing are available on the company's website, both in English and Japanese. I'm Yamanishi. Thank you very much for attending our earnings call in large numbers for the third quarter of fiscal year ending in March 2025. I am delighted to share our consolidated Q3 results as well as full-year projections. Let me start with the key points of the Q3 cumulative results. During the quarter, the economic conditions remained resilient in North America and continued to slow down in Europe and China amid the rising geopolitical tensions in the Middle East, resulting in persistent instability with regional disparities. In addition, the Japanese yen continued to depreciate particularly against the US dollar and euro. In the electronics market, which impacts our performance, the production volume of ICT products increased from last year, mainly driven by replacement demand, as well as launch of new models. Demand for smartphones, laptops and tablets remained strong. Demand for nearline HDDs for data centers recovered significantly. On the other hand, in the industrial equipment market, overall capital investment demand remained sluggish. In the auto market, demand for BEVs, battery EVs continued to struggle, resulting in component demand falling below our expectations. Amid this environment for the cumulative nine month period, our sales of small rechargeable batteries, HDD related components and sensors for the ICT market increased significantly. And with the continued recovery of the HDD market demand, sales of HDD heads and suspensions also saw a substantial increase. On the other hand, the slowdown in BEV sales led to weaker sales of passive components and sensors for the auto market. There was also a decline in sales of medium sized rechargeable batteries, industrial power supplies, and passive components and sensors for industrial equipment. As a result, net sales grew 3.2% year-on-year. As for operating profit, in addition to the significant depreciation of the yen and increased shipments of products for the ICT market, the effects of rationalization measures and the structural reforms implemented in the previous fiscal year contributed to a 34.3% increase year-on-year, which was the highest record for third quarter. Next is overview of financial results for Q3 year-to-date. The impact of FX fluctuations against the U.S. Dollar and others was positive JPY8.5 billion in net sales and a JPY16.8 billion in operating profit. As a result, we had net sales of JPY1,670.5 trillion, up JPY51.6 billion or 3.2% year-on-year. Operating profit was JPY209.1 billion, up JPY53.3 billion or 34.3% year-on-year. Profit before tax was JPY218.1 billion, an increase of JPY61 billion or 38.8% year-on-year and net profit was JPY160.9 billion, up 34.6% year-on-year. All profit metrics from operating profit downward achieved record high levels. Earnings per share stood at JPY84.79. ForEx sensitivity on operating profit is JPY2 billion per JPY1 change against the dollar and JPY0.3 billion, 1 per JPY1 change against the euro. Let me move on to segment overview for the cumulative third quarter. First regarding passive components. Due to the continued weak demand in the industrial equipment market, as well as slowing sales to the auto market, including BEVs, we had net sales of JPY424.6 billion, down 0.6% year-on-year and operating profit of JPY40.9 billion, down 18.6% year-on-year. Ceramic capacitors and aluminum electrolytic and film capacitors, which have a high sales exposure to the auto and industrial equipment markets, experienced declines in both sales and profit due to reduced demand. Inductive devices saw increased sales and profit supported by higher sales to the ICT and auto markets despite a decline in sales to the industrial equipment market. High frequency components achieved higher sales and profitability driven by expanded sales to the auto market. Piezo electric material products and circuit protection components, recorded a decline in sales as sales to the ICT and auto markets decreased. Next is sensor application products. Net sales were JPY143 billion, up 5.7% year-on-year. Operating profit was JPY5.4 billion, down 45.2% year-on-year. For temperature and pressure sensors, despite increased sales to the industry equipment and auto markets, operating profit decreased due to the inclusion of one-time gain from asset sales in the previous fiscal year. As for magnetic sensors, TMR sensors saw expanded sales to the smartphone market and the Hall Sensors also saw increased sales to the auto market. However, operating profit is slightly down due to increased expenses related to production capacity investments and depreciation expenses. For MEMS sensors, microphones recorded higher sales to the ICT market, improving profitability. However, motion sensors saw decreased sales to the auto and industrial equipment markets resulting in lower sales and profit. Next, Magnetic Application Products. Net sales reached JPY165.4 billion, marking a significant increase of 25% year-on-year, while operating profit turned positive from a negative profit last year. For HDD Heads and Suspension Assemblies, demand for nearline HDDs for data centers increased 1.6 times year-on-year. Both HDD Heads and HDD Suspensions returned to profitability. Sales volumes of HDD heads increased 37% year-on-year with heads for nearline HDDs becoming almost double the volume of last year, despite slightly falling below the breakeven sales volume after the structural reforms, the profitability improved to a positive territory due to a better product mix and increased production capacity. HDD suspensions surpassed the breakeven sales volume securing sustained profitability. Magnets experienced a decline in sales and profit, due to decreased sales to the auto market. Next, Energy Application Products. Net sales reached JPY895.9 billion, up 1.4% year-on-year. Operating profit significantly increased by 26.7% year-on-year to JPY196.7 billion. Rechargeable batteries profit increased significantly despite a decline in material prices and selling prices because of the increased sales volumes driven by the launch of new smartphone models and improved product mix. Power supplies for industrial equipment saw a decrease in both sales and the profit, due to the lack of recovery in demand from the industrial equipment market. Power supplies for EVs also saw a decrease in both sales and profit, as sales of BEVs and other automotive applications slowed down. Next, I’d like to explain the third quarter results. Dollar yen currency fluctuation had a positive impact of approximately JPY14.2 billion, on net sales and JPY3.2 billion positive impact on operating profit. Accordingly, net sales for the third quarter was JPY581 billon, JPY21.8 billion or 3.9% up year-over-year. Operating profit was JPY75.8 billion, JPY5.6 billion or 8% up year-over-year. Profit before tax was JPY80.8 billion, up JPY3.9 billion or 5.1% increase year-over-year. And net profit was JPY55.2 billion. Operating profit was a record high level for a quarter. Next is the analysis of the change in operating profit of JPY5.6 billion. Passive components and sensors saw a decline of profit due to the decline in sales volume. However, rechargeable batteries and HDD Head and HDD Suspension assembly sales volume increased. Due to these factors, the impact coming from the sales increase was a positive JPY9.3 billion. JPY4.8 billion of positive impact came from rationalization and cost reduction. Benefits from restructuring was JPY2.3 billion. These two factors basically offset the negative JPY8.3 billion impact coming from selling price fluctuations. As SG&A expenses, it increased by JPY5.6 billion. This is due to the R&D expenses increase in rechargeable batteries where we are accelerating new product development. Exchange rate fluctuations accounted for a positive JPY3.2 billion as the yen depreciated. Overall, operating profit increased by JPY5.6 billion. Next is the quarterly results by segment from the second quarter, third quarter and the analysis of the change in operating profit. For the passive component products, net sales declined JPY2.3 billion or 1.6%. Operating profit went down by JPY3 billion or 19.9% from the second quarter. For ceramic capacitors, although we expect the sales increase into second quarter for the automotive sector, sales were slow. As a result, the sales of this business was flat year-over-year. Demand for industrial equipment continued to be stagnant. As for the ICT market, the second quarter was the peak of the smartphone demand, which led to a decline of sales in the third quarter. This resulted in the decline in sales mainly for inductive devices. Going to operating profit. Ceramic capacitors saw a decline due to production volume decrease and fixed cost increase, while sales was flat. Profit declined in the other businesses as sales declined for the smartphone market. Next is the sensor application product. Net sales was JPY2.7 billion, down JPY5.3 billion. Operating profit was JPY1.7 billion, down 43.8%. Temperature and pressure sensors saw a decline in both sales and profit as demand for the European auto market declined. Magnetic sensors saw a decline in both sales and profit as demand for TMR sensors for smartphones so has been front loaded in the second quarter. Magnetic sensor sales went up as sales for motion sensor for games and new microphone models increased. Overall, the amount of loss decreased in this business. Going to Magnetic Applications segment. Net sales was JPY1.5 billion, 2.6% decline. Operating profit increased by JPY1.2 billion. As demand for nearline HDDs has been solid, in the second quarter shipment of HDD heads to major customers was moved up to the second quarter, leading to a decline in sales volume of 16%. However, this was already anticipated. By improving our utilization rate, we were able to be profitable. Sales volume on suspension assemblies has increased by 20% as anticipated, allowing this business to stably generate profit. Sales of magnetic application products were more or less flat. Loss in decreasing, including a decrease of one-off expenses of JPY1.5 billion. In energy application products, sales was JPY14.9 billion, a 4.8% increase. Operating profit was JPY5.3 billion, a 7.8% increase. In rechargeable batteries, sales increased for small capacity batteries via ICT applications, mainly through high-end products for Chinese smartphones. Overall, sales and profit for rechargeable batteries increased. Both sales and profit declined for power supplies for industrial equipment. Power supplies for EVs saw a decline of sales, but the amount of loss has shrunk. Next, I will explain about the cash flow situation. For the [indiscernible] third quarter result, cash flows from operating activities was $369 billion. Cash flow from investing activities such as CapEx was JPY155.5 billion. Free cash flow was JPY213.5 billion, which is above the previous year's cash flow of JPY185.5 billion. We have been striving to maintain appropriate level of inventory from the previous year. Additionally, due to the decrease in CapEx and increase in profit, we have been able to largely exceed the free cash flow level that we have anticipated in the beginning of the year. We are already well above the targeted free cash flow level that we announced at the beginning of the year. We will aim to further improve our cash flow by further increasing our profit and improving our capital efficiency. Next is the fourth quarter by segment sales projection. For the fourth quarter, we have changed our exchange rate assumptions from initial JPY140 to JPY150 for the dollar. For passive components products, the production volume of the automotive sector is expected to decline. However, we anticipated sales of MLCC will be unchanged. Other businesses overall will see a decline in sales due to the seasonality of smartphone demand and stagnant demand for the industrial equipment market. Overall, we forecast a range of a minus 6% to minus 3% decline in this segment. Going to sensor application products, sales of temperature and pressure sensors will grow slightly for automotive applications. Sales of magnetic sensors will decline, impacted by the drop in demand for smartphones due to seasonality. For MEMS sensors, sales of new microphones will increase, but sales of motion sensor for games has been pulled forward to the third quarter, in terms of shipment. Accordingly, the total MEMS sensor business, we are expecting a decline in sales. For the overall sensor application business, we anticipate a decline of sales between the minus 8% to minus 5%. In the Magnetic Application Products business, we forecast a decline in production volume of 9% for HDDs and decline of 6% for nearline HDDs. Sales volume of heads will be mostly flat from the third quarter. Sales of suspension assemblies will decline by about 9%. In total, the decline in sales will be from minus 12% to minus 9%. Lastly, with energy application products, sales of small capacity batteries will decline due to seasonality of demand for smartphones. Power supplies for industrial and EVs will see a gradual recovery in demand. Overall, we expect the minus 20% to minus 70% for sales. Lastly, I would like to explain about the fiscal year March 2025 projections. In the third quarter, rechargeable batteries and HDD head suspension assemblies performed well. Furthermore, through the positive impact of the weaker yen, results exceeded the previous projection by a large margin. In the fourth quarter, as we are going to change assumption of the yen dollar from JPY140 to JPY150, we are expecting a positive impact coming from the weaker yen. That said, as the demand recovery for the market as in battery EVs and industrial equipment market is delayed, we anticipate the performance of passive components products and sensor application products in the fourth quarter, will be substantially lower than our initial outlook. As we are going to review the JPY 10 billion that we have been planning to spend for the full year for the structural reform, as well as reflecting the risk of write down on high frequency components under passive components product segment, we are anticipating JPY18 billion, of one-off expenses for the full year. Based on these assumptions, our full year March 2025 projections will be changed. We will make an upward revision for net sales changing from excuse me, from JPY2,120.0 billion to JPY2,180.0 billion. We're going to change the forecast operating profit and other profit items. We're not going to change the forecast operating profit and other profit items taking into account of additional structural forms expenses. CapEx is going to be reduced from JPY250 billion to JPY240 billion, around JPY10 billion reduction. R&D spending is going to increase by JPY10 billion from JPY140 billion to JPY250 billion. There will be no change in dividends. Based on these revisions, free cash flow will improve significantly from the previous expected JPY120 billion to JPY200 billion. This is all from me. Thank you very much. We now would like to take questions.